Operator: Good day, and welcome to the Varonis System, Incorporated Third Quarter 2016 Earnings Conference Call. Today’s conference is being recorded. At this time I’d like to turn the conference over to Staci Mortenson, investor relations. Please go ahead.
Staci Mortenson: Thank you. Good afternoon. Thank you for joining us today to review Varonis’ third quarter 2016 financial results. With me on the call today are Yaki Faitelson, Chief Executive Officer, and Gili Iohan, Chief Financial Officer. After preliminary remarks, we will open the call for question-and-answer session. During this call, we may make statements related to our business that would be considered forward-looking statements under federal securities laws, including projections of future operating results for our fourth quarter and fiscal year ending December 31, 2016. Actual results may differ materially from those set forth in such statements. Important factors such as risks associated with the anticipated growth in our addressable market; competitive factors, including increased sale cycle time; changes in the competitive environment; pricing changes and increased competition; the risk that we may not be able to attract or retain employees, including engineers and sales personnel; general economic and industry conditions, including expenditure trends for data governance and data security software; risks associated with the closing of large transactions, including our ability to close large transactions consistently on a quarterly basis; or our ability to build and expand our direct sales efforts and resell our distribution channel; new product introductions and our ability to develop and deliver innovative products; risks associated with international operations and our ability to provide high quality service to support offerings, could cause actual results to differ materially from those contained in forward-looking statements. These factors are addressed in the earnings press release that we issued today under the section captioned, forward-looking statements. And these and other important risk factors are described more fully in our reports filed with the Securities and Exchange Commission. We encourage all investors to read our SEC filings. These statements reflect our views only as of today, and should not be relied upon as representing our views as of any subsequent date. Varonis expressly disclaims any application or undertaking to release publicly any updates or revisions to any forward-looking statements made herein. Additionally, non-GAAP financial measures will be discussed on this conference call. A reconciliation of the most directly comparable GAAP financial measures is available in our third quarter 2016 earnings press release, which can be found at www.varonis.com in the Investor Relations section. Also, please note that a webcast of today’s call will be available on our website in the Investor Relations section. With that, I’d like to turn the call over to our chief executive officer. Yaki?
Yaki Faitelson: Thanks, Staci, and good afternoon everyone. This was another strong quarter for Varonis. For the fourth quarter in a row, both license and total revenues grew more than 30% year-over-year. We also exceeded our guidance from both the top and bottom line. Demand for our solutions increased, and our efforts to reach customer with more than 1,000 employees who can make larger commitments to us over time are showing good results. Total revenues for the third quarter were $40.9 million, an increase of 31% year-over-year. We are encouraged by the positive momentum we see in the business driven by growing awareness of the insider threat and Varonis’ role in protecting data. Look no further than Richard Spires, the former CIO of the IRS and DHS who announced a recent breach and the failure to take data centric approach to information security, and I quote. “If I’d walked in there as a CIO, I’m speculating a bit, I saw the kinds of lack of protections on very sensitive data. The first thing we would have been working on is how we protect that data. Not even talking about necessarily the systems. How it is we get better protection and then control access to that data.” And the quote speaks directly to an insider threat, which is a problem across enterprises worldwide. Attacks start with an insider, like with the NSA twice now, or outside attackers hijacked the credential of an insider, as was the case with Sony and OPM. Ransomware also works by hijacking the credential of an insider and the number of ransomware infection per day 100,000 according to malware analyst Kevin Bowman proves how easy it is to get inside. Every vector seems to be working at scale, phishing, hijacked website, and cloud file sharing. If ransomware, which is an attack that wants you to know it is there, can get in and encrypt files that are being detected, then you can imagine the risks companies face from attackers that don’t want you to know about them. Once inside, attackers begin stealing e-mails, video files, files containing passwords, intellectual properties, social security or credit card numbers, health records or detailed documents that turn into a map of how to infiltrate a massive database of PII. Ransomware will show how a single infected user account can encrypt thousands and thousands of files, many of which that user probably shouldn’t have had access to be in the first place. And they can do so undetected for hours, days or much, much longer. Varonis is the answer for Richard Spires’ question. Our software provides better protection around data and enable better control of access. Varonis’ approach focus more on the data than the system, so companies can discover where their information assets are, track and profile, those who use them, spot who may be abusing them, and identify those who are responsible for them. Our product offering remains uniquely positioned in the market, and we see increased momentum, particularly as it relates to what we call our security bundle, which includes DatAdvantage, DatAlert and Data Classification Framework. DatAlert continued to be the fastest growing solution in the company’s history and new innovation like threat models and DatAlert analytics provide immediate value in addressing data security concerns. Customers then choose to go farther to secure their data through our solutions and our proven methodology to sustainably control access to data. Varonis has created threat models for each phase of the cyber kill chain from detecting recon tools to alerting when access denied events to abnormal file access. DatAlert identifies administrators, executives and service accounts, and learn their behavior by watching how they use data, including files and e-mails. This alert threat model detect when an insider isn’t behaving normally, whether it is an administrator or executive, service accounts or normal user, and disgruntled employees, abusive administrator and ransomware. And by analyzing file system interaction, we are able to accurately find low and slow, highly, highly sophisticated attacks, even if an attacker gets past other defenses instead of no other alarms in the process. Attackers must interact with file system to steal data and Varonis is uniquely positioned to catch unusual interaction at the file system level. We provide high value, low noise security alert that every organization needs if they store valuable data. We are hearing each day about Varonis catching ransomware, misbehaving administrators, employees misusing data, and sophisticated attacks. We are able to detect these threats because we have been collecting and analyzing file system activity and other critical metadata for over a decade. We can distinguish between human behavior and automation, and between normal behavior and abnormal, and effectively alert when we see danger with very few false positives. The combination of the increased awareness around the problem we are trying to solve, our innovative solution, and our investment in sales and marketing are providing tailwinds for Varonis. Over the last year, we increased our focus on engagement with companies who have 1,000 employees or more, where there are well identified leaders who control the security budgets and are willing to spend it. The result is that we can identify larger initial opportunities as well as accounts with meaningful opportunity for predictable and repeatable follow-on sales. No matter where a customer starts, after seeing our solutions at work, they begin to realize the extent of their vulnerability across multiple platforms, which drives our land and expand strategy. Our Q3 customer wins reinforce the value of our products and include great additions, such as Boston Children’s Hospital, Sky Lakes Hospital, Vinci and Spirit Airline, and extend deals with John Hancock and Time Warner Cable to name a few. Macy’s, one of the nation’s premier retailers purchased their Advantage for Windows Data Classification Framework, DatAlert Suite, and data transport engine. The retail giant is benefiting from our product’s advanced capability to find, identify, move and distinguish who has access to data stores. They are leveraging Varonis’ automated ability in data identification to save time and money for the company. With five premiere continuing care retirement communities and life-enriching homecare services for older adults. The Ashbury communities are using several of our products, DatAdvantage, classification and alerting solution are a great complement to their overall data loss prevention strategy by providing detailed insight into who is accessing their data and how their data is being manipulated. The USAID office of Inspector General is using DatAdvantage, DatAlert Suite and DataPrivilege to let the OIG office track, visualize, investigate and protect their data. Varonis has been deployed to monitor shared resources, changes or modification to files and user access and permission in active directory. In closing, we delivered another strong quarter. We are pleased with our efforts to drive awareness and capitalize on the market trends as we effectively secure data and stop insider threats. Our efforts to target customers with larger customer lifetime value are paying off and we are well positioned for solid goals and to achieve positive cash flow from operation in 2016. With that, I will turn the call over to Gili.
Gili Iohan: Thank you, Yaki. Total revenues for the third quarter were $40.9 million, an increase of 31% year-over-year. We are pleased with the consistent, high levels of growth we’ve achieved over multiple quarters as we increase awareness of our product, capitalize on healthy demand from a maturing market, benefit from our focus on innovation, and effectively leverage our sales investment. Our consistently high maintenance renewal rates remain at over 90%. License revenues were $22.6 million. This represents a 34% increase from the third quarter of 2015. Our maintenance and services revenues were $18.3 million, increasing 28% compared to the third quarter of 2015. Looking at the business geographically, we achieved strong performance in the US, which increase 41% to $25 million, or 61% of total revenue. EMEA increased 15% to $12.7 million, or 31% of total revenues. And rest of world increased 31% to $3.3 million, or 8% of total revenues. For the third quarter, we added 224 new customers compared with 241 last year. As Yaki mentioned, we are having particular success focusing our efforts on targeting customers with more than 1,000 employees who have a greater customer lifetime value. The result is that we continue to add meaningful number of new customers while also expanding relationships with existing customers. In the third quarter, license and first year maintenance revenue contribution from existing customers was 46% versus 37% in the third quarter of 2015. We also closed one deal greater than $1 million with an existing customer. As of September 30th, 2016, 47% of our customers had purchased more than one product family, up from 44% as of September 30th 2015. We are pleased with the increasing traction we are building as new and existing customers grow their relationships with us across multiple product families. As a result, we believe that we have a strong foundation for long-term scale and favorable unit economics. Before moving on to the profit and loss items, I would like to point out that I will be discussing non-GAAP results going forward unless otherwise stated, which for the third quarter of 2016 excluded total of $3.5 million in stock based compensation expense, and $54,000 of payroll tax expense related to stock based compensation. Please note that the detailed GAAP to non-GAAP reconciliation can be found in the tables of our press release, which is available on our website. Gross profit for the third quarter was $37 million representing a gross margin of 90.4% compared to a 90.6% gross margin in the third quarter of 2015. Sales and marketing expenses were $24.8 million, or 60% of revenues, for the third quarter of 2016, compared to $19.9 million dollars, or 64% of revenues in the third quarter of 2015. We are pleased with the levels we were able to realize in this area during the quarter. R&D expenses in the third quarter were $8.5 million compared to $7.3 million in the same period last year. We remain focused on investing in product development to expand our use cases, grow our total addressable market, enhance our competitive position, and increase the value we provide to our customers. G&A expenses were $4.2 million, or 10% of revenues, compared with $3.4 million or 11% of revenue in the third quarter of 2015. Operating expenses totaled $37.4 million in the third quarter, compared to $30.5 million last year. As a result, our operating loss was $418,000 for the third quarter, a meaningful improvement compared to an operating loss of $2.2 million in the same period last year. During the quarter, we had financial expenses of $187,000 primarily due to foreign exchange losses compared to financial expense of $104,000 in the same period last year. As you know, foreign exchange gains and losses can fluctuate. Our guidance does not consider any additional potential impact to financial and other income and expense associated with foreign exchange gains or losses as we do not estimate movement in foreign currency rates. Our net loss was $877,000 for the third quarter of 2016, or a loss of $0.03 per basic and diluted common share, compared to a net loss of $2.5 million, or a loss of $0.10 per basic and diluted common share for the third quarter of 2015. This is based on 26.5 million and 25.4 million basic and diluted common shares outstanding for Q3 2016 and Q3 2015 respectively. We ended the quarter with 1,042 employees, a 17% increase from 892 at the end of the third quarter of 2015. We are adding people to deliver innovation and expand sales capacity to drive growth, while at the same time also focusing on scaling the business. If you look at the balance sheet, we ended the quarter with approximately $112 million in cash, cash equivalents and short-term deposits. We generated positive cash flow from operations in the quarter of $2.2 million. Year-to-date we have generated $4.5 million in cash flow from operations, a meaningful improvement compared to $4.6 million of cash used for operation in the same period last year. Moving to guidance. For the fourth quarter of 2016, we expect total revenues of $52.5 million to $54.0 million, or 20% to 23% year-over-year growth. We expect our non-GAAP operating income to range between $6.3 million and $6.7 million, and non-GAAP net income per diluted common share of $0.20 to $0.21. This assumes a tax provision of $200,000 to $500,000 and 29.3 million diluted common shares outstanding. For the full year 2016, we are raising both our revenue and profit guidance. We now expect total revenues in the range of $162.5 million to $164 million, representing year-over-year growth of approximately 28% to 29%. We now expect our non-GAAP operating loss to be in the range of $4.4 million to $4.0 million, and our non-GAAP loss per basic and diluted common share to be in the range of $0.22 to $0.21. This assumes a tax provision of $1.0 million to $1.3 million and 26.4 million basic and diluted common shares outstanding. We also now expect to be cash flow positive from operations for the full year. In closing, we had a strong third quarter. Market awareness and demand for our solutions continues to grow, and we are well positioned for success as we finish out 2016. With that, we’d be happy to take questions you have. Operator?
Operator: Thank you. [Operator instructions] We’ll pause for just a moment to let everyone have an opportunity to signal for questions. And our first question comes from Greg McDowell with JMP Securities.
Greg McDowell: Great, thank you very much. Two quick questions. I guess the first question is if you can comment on sort of sales capacity additions, you know the way you’ve thought about sales capacity expansion in 2016 and maybe how you’re starting to think about it in 2017. And the second part of that question is just around sales productivity, and maybe some of the trends you’ve seen so far in the first nine months of the year. Because at this point you’ve had four quarters in a row of 30% license growth, so obviously something is going right over there. So anyway, just the capacity and productivity, would just love to hear your thoughts on that.
Yaki Faitelson: Hi, Greg. Thanks. First, this is a massive market. We literally can sell to everybody that files and e-mails are important for them and active directory and file system are a critical part of their infrastructure. And we need coverage, but you know we’re starting to have more tenured sales people and sales team and overall in this flywheel and we are balancing very well between capacity and productivity. So what you see, you see definitely increasing productivity gains because of three things. There’s number one more tenured sales people. The second thing is the market is definitely coming to us. It’s a gradual process but more people are aware and more organizations that they need to deal with insider threat. And if you look at the whole spectrum, you know look at every big bridge, files and e-mails and active directory and taking credentials and we’ve been solving the lion’s share of these problem. So this also works very well for us. We also are doing very well with customers that are a bit bigger. Because of this market condition, the sales staff are becoming more predictable and DatAlert is also helping, you know just immediate time to value of very accurate alert and very sophisticated attacks. So it’s many things that are coming together, so it’s just working well for us.
Greg McDowell: Great. And a quick second question. You know, we’ve talked for the last three or four quarters about how strong cross sell has been and specifically with DatAlert. And was wondering if you could just share any sort of attach rates that you’re seeing with DatAlert so far, maybe how it’s improved year-over-year or quarter-over-quarter. Because certainly it feels like that’s become a significant material product for you guys.
Yaki Faitelson: So we can’t share attach rates, but maybe I will explain what it’s doing to the overall value proportion and the sales motion. So go from the DNC to WikiLeaks to what happened now in the NSA and even at OPM that they tried to go after I think – I heard somewhere to go after the mainframe or different systems. They all come for files and e-mails and this is really front and center to what we are doing. And the key, the first key is very intelligent alert, and this is what DatAlert is doing. It’s coming in, hitting on the most critical, vulnerable information and infrastructure, and give you very sophisticated, accurate alert. You don’t need to be just a very savvy analyst in order to get these alerts and this works extremely well for us. The second thing, once you have DatAlert inside, it’s dragging the other DatAdvantage and directory services because you come in and it’s also we’re sell it to the CISO. Before we sold it silos in the infrastructure and what is changing is that it’s more and more security budget and becoming a top priority for the security, for the CISO, for the incident response people, for the business people. So the overall sales motion is changing and we see less friction in the sales process only to come in even though critical. But once there, the budgets are there and if you know how to position it well, and it’s primarily it’s a visual sell. We are leaning on the value of the product, it’s much easier for us to get budget.
Greg McDowell: Thank you.
Operator: Thank you. Our next question comes from John DiFucci with Jefferies.
Unidentified Analyst: Hey guys, this is Zack for John. Thanks for taking the question. You’ve often said that you don’t really have a true competitor for what you’re helping customers do as it relates to security against internal threats. But, you know, naturally attractive opportunities like this typically draw interest from others that might be able to solve the problem. Has anyone emerged yet or someone that says that they’re going to get there that you guys are tracking or that you’re starting to see? Thanks.
Yaki Faitelson: Thanks for the question. You know, as a percentage of overall evaluations and deals we see less competition. And it’s very interesting how the problem is also evolving. In the rare occasions that someone bought a competitive product because now they really want to solve a problem, they really need to know who attached the data, to do remediation, have sophisticated alerts, a lot of them a year, two years later are coming to us and buying the product. You know, thankfully we started when the data volumes were small and we have very strong engineering organization. And this trend going at 160 miles an hour and it’s just very, very hard to catch up. And every customer that we have makes us better and better. So on top of the – we support more platform and we have more innovations and we have this tremendous people group from the market. So far the only thing that I can say is that I think the barriers to entry and our competitive advantage is just increasing and increasing every day.
Unidentified Analyst: That’s great. Thanks a lot, Yaki.
Operator: Thank you. Our next question from Melissa Gorham with Morgan Stanley.
Josh Baer: Hi, this is Josh Baer in for Melissa. Congrats on a nice quarter, and thanks for taking my question. Wondering to what extent is ransomware leading your sales conversations? How much of a driver is ransomware in winning new business for Varonis? Thanks.
Yaki Faitelson: Thanks. You know, ransomware, we see ransomware on one of ten, one of eleven evaluations. So with so much infections every day, it’s front and center. But what it does, not ransomware in and of itself, but what it’s doing it’s showing you that all the perimeter defense are failing and once they take your computer, they can go after critical data. So what it’s doing, it’s making the threat very real to everybody. So if many people get it, or many people heard about someone that gets it, and every person that is technology savvy and understand the dynamics of this malware, understand how easy it is to take this code and manipulate it to do whatever they want. So just in the overall threat environment, not just ransomware, all of these malwares that are coming, taking your credentials and behalf of you trying to access and steal a lot of critical information, the marketplace understands that we are very relevant. And one of the – maybe and uniquely positioned to solve this problem once this malware is in.
Josh Baer: Thanks. And one more. EMEA growth decelerated to 15% in the quarter. I was just wondering if you could address the macro environment you’re seeing, anything else going on in EMEA specifically? Thank you.
Yaki Faitelson: Yes. You know, just during the course of our history, growth always fluctuates. You can only understand Varonis if you take a multi quarter view. EMEA growth for the year, year-to-date is 24% is a strong growth. History, in terms of seasonality, the slowest quarter in Europe due to the summer holiday. And we believe that Europe will be solid contributor for Q4 and the full year. And overall it’s just a very good market for us and regulations like GDPR are helping us a lot to create C-level level awareness and budget allocations. So, you know, it fluctuates a bit. You have a lot of holidays and we really believe that the overall performance for the year in Europe will do very well.
Operator: Thank you. Our next question comes from Matt Hedberg with RBC Capital Markets.
Matt Swanson: This is Matt Swanson on for Matt. Thanks for taking my questions. Yaki, you talked about being able to add in more companies with the CISO's or the C-level. Has this done anything to affect the initial deal sizes? And if not, does it aid in expanding in a customer once you land having that higher entry point in the company?
Gili Iohan: Hi, this is Gili. We do think that over time ASP can go up, but the most important for us, as always, as we always said, is the customer lifetime value. We know that our efforts to target organizations with more than 1,000 employees are paying off. But the most important thing is the land and expand because customers are coming back. They purchase more of what they have. They purchase more product families. So the overall trend from existing customers continue to grow. The portion continues to grow. It grew this quarter from 36% to 47%. So for us, this is the most important trend.
Yaki Faitelson: And maybe just to shed some light regarding the overall sales motion, before we were selling a lot in the infrastructure, and you know in even mid-sized organizations storage and Windows is big and the exchange, e-mail is – messaging is a big thing. Now we’re much more selling to the CISO. So we have one person that first and foremost is interested about the sophisticated alert. So in terms of the friction, it’s much easier for us to do the repeat sales. So in terms of what I said in the last call, the overall sales process becoming simpler and more strategic.
Matt Swanson: Yes. And then just touching on that simpler sales process. I know DatAlert obviously has a great value proportion. You talked about the usability for less sophisticated users. Is that these shorter sales cycles than some of your other products?
Yaki Faitelson: I don’t want to comment in terms of sales cycles. You also need to understand, you know at the end of the day it’s enterprise sales. You need to come in. You need to install an evaluation. We need to build consensus. You need to go through legal and purchasing and all of the stuff that’s coming with purchasing software, what it does it makes the sales process much more predictable. We know today that we are bringing C-level people, business people and CISO's to a room, doing a data review and show you that, you know, you don’t know that an administrator is changing permissions and reading your e-mail. You don’t know that someone took five social security numbers, credit card numbers and put it in a folder that opened to everybody in the company. You don’t know that someone came at midnight and tried to access many folders that they shouldn’t access. And before you even start, that 70% of the data in the company that users can access is not relevant for them whatsoever. And now the icing on the cake, you also have the ransomware makes the overall sales process much, much more predictable.
Matt Swanson: All right. Thanks for the time. And congratulations on another great quarter.
Operator: Thank you. Our next question comes from Srini Nandury with Summit Redstone Partners.
Srini Nandury: All right, thank you for taking my question. I have a question on the upsells. You know, I would have expected your upsells would have been much higher. For example, it is 47% versus 44% last year, meaning more than one product being bought. Can you comment what’s driving this? Do you have enough inside sales people to attack the upsells? And can you comment on the upsell process in general a little bit? Thank you.
Yaki Faitelson: Yes. Thanks for the question. We feel that the overall upsell is very healthy. We’re also balancing between upsells and acquiring new customers, that both are critical for us. And you know customers are buying in cadence. The other thing is, you know to upsell many times, you need to upgrade the system, you need to put in new licensing. It’s just a process. And regarding the product family, you see the families but don’t forget that you have many licenses under the DatAdvantage, the DatAdvantage family. So we believe that our overall upsell and customer lifetime value is very strong and overall getting stronger. And we also feel that 224 customers in the third quarter is a very good addition of new customers. So from where we sit, we believe that the trends are very strong.
Srini Nandury: All right. Thank you so much for taking my question.
Operator: Thank you. [Operator instructions] And our next question comes from Yun Kim with Brean Capital.
Yun Kim: Great. Thank you. And congrats on another strong quarter, Yaki and Gili. Following up on the last question, Gili mentioned the existing customer mix accelerated over the past couple quarters. Is that because the follow-on sales are becoming more meaningful? Is this an inflection point in your business as the follow-on deal sizes get larger and can we expect this trend around the existing mix – positive trend around the existing mix to continue?
Yaki Faitelson: I think that this overall solution becoming more strategic to customers. And because now the security is such a strong driver, many times when you’re doing things for government you decide, I will do it now for my Window estate, or for my Unix estate. And when the security use case with DatAlert, you want to make sure that with detective controls you have it across all of your infrastructure so it’s a bit easier to upsell. And most of our customers are candidates for most of our SKUs, most of our licenses, so overall we believe that the customer lifetime cycle is increasing.
Gili Iohan: And also in the last 12 months we added 1,100 new customers. So it’s a very large number of new customers. We’re always focused on both new and existing. And in some quarters this metric can move in favor of one segment versus the other, but the important thing to look at is the overall trend and it’s strong for both. We see very good demand from new customers, and also expansion with existing customers. So we are very pleased with both trends.
Yun Kim: Yes, give us an update on the product side of the business? Obviously the [indiscernible] is driving your business. Is there an opportunity for you to continue to expand your product strategy to address that concern? And then also just if you can give us your thoughts regarding how your platform becomes – remains more relevant or it becomes more relevant as more and more data moves to the cloud, such as evaluate obviously Office 365? Thanks.
Yaki Faitelson: Yes. So you know we have just so much innovation ahead of us and not just with DatAlert, with everything what we are doing, you know, and at our core we are innovators. And regarding the cloud, the cloud is a huge opportunity for us. We support now 365 and we have many installations on Azure and AWS. It’s completely transparent for us. But most ways data is more distributed among most systems and users can access more data stores. It’s increasing the problem that we are solving. And not only that, we are charging but users that can access to a platform, it’s also increasing our license base. So we are big believers on the cloud and we believe that the cloud is a big opportunity for us. And in the cloud, access control auditing and sophisticated alerts is what is guarding the data in the system more than anything else.
Yun Kim: Okay, great. Thank you.
Operator: Thank you. Our next question comes from Michael Kim with Imperial Capital.
Michael Kim: Hi, good afternoon, guys. Sorry if you covered this earlier, but with kind of the growing awareness for insider threat, are you starting to see a shift on the part of the enterprise customers where it becomes less as part of the discretionary budget and more a line item and a persistent budgetary spend for a lot of enterprises?
Yaki Faitelson: Yes, definitely. And you know, it’s a work in progress. What we see is that much more budgets are allocated to insider threat and much more budgets are allocated to security analytics. It’s still not like very established market that you know budget that is allocated to storage or to firewall or to a switch or things of this nature, it’s more an umbrella of budget and you need to get in and to position, make sure the budget will go your way. But definitely, there are earmarked budgets and not small chunk of budget for insider threat and data protection.
Michael Kim: Great. And then are you starting to see some activity or opportunities with mid-market enterprises and crossing multiple verticals within that area?
Yaki Faitelson: Yes, definitely. Yes, we have a big focus on 1,000 plus, so 1,000 to 10,000 we see very strong customer lifetime value and nice initial deals, and just believe that it’s a great market for us.
Michael Kim: Great. Thank you very much.
Operator: Thank you. It appears there are no further questions at this time. I’d like to turn the conference back to management for any additional or closing remarks.
Yaki Faitelson: Thank you. Before we end the call, I would like to thank all of our employees for their contribution to our success this quarter, and all of our customers and partners for their continued support. Thank you for joining us today and we’re looking forward to speaking to you again soon.
Operator: Thank you. This does conclude today’s presentation. We thank you for your participation.